Operator: Good morning. My name is Jennifer and I will be your conference operator today. At this time, I would like to welcome everyone to the International Paper First Quarter 2015 Earnings Conference Call. [Operator Instructions]. Thank you. I will now turn the conference over to Jay Royalty, Vice President, Investor Relations. Please go ahead.
Jay Royalty: Thanks, Jennifer. Good morning, everyone and thank you for joining International Paper's first quarter 2015 earnings conference call. Our key speakers this morning are Mark Sutton, Chairman and Chief Executive Officer; and Carol Roberts, Senior Vice President and Chief Financial Officer. During this call, we will make forward-looking statements that are subject to risks and uncertainties which are outlined on slide 2 of the presentation. We will also present certain non-U. S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures are available on our website. Our website also contains copies of the first quarter 2015 earnings press release and today's presentation slides. Lastly, relative to the Ilim JV, slide 4 provides context around joint venture's financial information and statistical measures. With that, I'll now turn the call over to Mark Sutton.
Mark Sutton: Thank you, Jay, and good morning, everyone. Thanks for your interest in International Paper and for taking time to join our quarterly call. I'm going to start on slide 5. International Paper delivered a solid performance in the first quarter. Our team successfully managed the business to improve margins and improve earnings. This is enabling International Paper to continue to deliver strong results. Extreme weather had some impact on our results in North America. Although, our operations overall performed well. We saw particularly strong results out of the Ilim joint venture in Russia. As margins expanded due to our strong export position. Our research in EBITDA margin, absolute EBITDA and free cash flow, all improved year-over-year. Overall, we're pleased with how we operated and with our results in the first quarter. We feel like we're off to a good start to 2015. Continuing with our financial results on slide 6. EPS was $0.84 a share for the first quarter. And, this includes $0.04 of unfavorable Ilim FX impact. Our EBITDA margin was up 120 basis points versus the first quarter of last year. EBITDA grew by $32 million year-over-year. And, free cash flow improved to $319 million, up from $252 million in the first quarter of 2014. If we dive a little deeper into margins, you can see on slide 7 that we're successfully managing our margins across our key businesses. Global dynamics are different in each of these regions and across the businesses. But, our teams are finding ways to drive improved performance in the face of these challenges. Despite the economic backdrop, we're finding ways to continue to win and improve results. And, with that, I'll turn it over to Carol to cover the details in the quarter and the second-quarter outlook.
Carol Roberts: Thanks, Mark, and good morning, everyone. Looking at the sequential bridge to the $0.84. Prices in mix were slightly unfavorable and volume was lower due to seasonality in Brazil and lower volume in industrial packaging. As Mark mentioned, operations were solid even with some winter weather impact in North America. Input costs were favorable, particularly for energy and diesel. However, I would note that the diesel benefit was largely offset by higher distribution rates. And, we saw the favorable - large favorable swing for Ilim. With most of this coming from a less severe ruble devaluation against the U.S. dollar, compared to what occurred in the prior quarter. And, as Mark mentioned, on an absolute basis, the $0.84 for the first quarter does include a $0.04 unfavorable Ilim FX charge. Moving to slide 9. In industrial packaging, beginning with price. Most of the impact we experienced in the quarter was on lower export prices. Which, were largely a function of currency and the impacts of the strong U.S. dollar? Volume was lower. As shipments were impacted by weather, along with lower demand from several of our largest customers. Year-over-year, our shipments were up 1% on a same-day basis. And finally, operations and input costs were favorable sequentially. Partially offset by higher planned maintenance outage expense in the quarter, as expected. And, as you saw on the margin slide that was previously shown by Mark. Overall, another strong quarter for our industrial packaging business. Moving to consumer packaging on slide 10. Mix improved slightly and volume was favorable in North America. Input costs in North America were a tailwind as well. Partially offset by higher distribution rates. The first quarter is typically a higher-cost operating quarter in North America, due to seasonality. And, this was only made worse by the periods of extreme winter weather. And, if you think about that, it's just about how cold it was and some of the energy implications that it takes to run some of these big integrated mills. Additionally, the business incurred some additional cost with the difficult startup at Augusta, following the annual outage there. But in total, a much stronger start to the year for consumer packaging in 2015. In printing papers, we experienced some softness in North American pulp and paper pricing, along with a less favorable mix in Brazil. Which, was due to seasonally lower domestic demand? The Brazil seasonality accounted for the majority of the lower volume as well. Which, was further amplified by the weak market conditions in the region? Operations and other costs were negatively impacted by negative weather. Along with a one-time charge for the write-off of a project which we chose to abandon. Lower input costs for diesel and energy were offset by some commercial pressure and higher distribution rates. And finally, there was some modest unfavorable FX impacts for the quarter. As FX headwinds in Europe were greater than the net tailwinds we experienced in Brazil. Turning to Ilim on slide 12. The JV turned in its second consecutive quarter of very strong performance on the back of expanding margins. Driven by its strong export position. And now, is the lowest-cost softwood pulp producer on the globe. Operational EBITDA for the quarter was $186 million, up 62% from Q1 2014. The JV did experience a modest negative non-cash FX related accounting charge of $47 million. Associated with the U.S. dollar denominated net debt, which was $1.2 billion for the first quarter. The JV remains focused on cost management and post-project optimization. To stay ahead of rising inflation and to offset the tough economic conditions in the country. Ilim expects lower earnings in the second quarter before considering any FX impact from the accounting treatment on the debt. Due to a $10 million maintenance outage that's scheduled at the big brocks mills and higher inflation. So, moving to the outlook for the second quarter. Volume will be up for our North American packaging business. With one more day and seasonal strengthenity. Particularly, in industrial packaging with the onset of the ag season. The industrial packaging volume is expected to increase by approximately 4% quarter over quarter. Consumer volume will increase as well. Due to the strengthening backlog. Volume in Brazil papers will increase as we move past the seasonal weakness of the first quarter. Pricing is expected to be largely flat across the businesses. With the exception of Brazil, where paper prices are increasing in local currency. And, mix is expected to improve in North American paper and pulp. Good operational performance across most of the businesses is expected to continue. With some improvement in North American paper, North American industrial packaging, and North American consumer packaging. Due to less weather impact and seasonally stronger demand. In Brazil, we're beginning to see some signs of fiscal policy tightening. As the government begins to do things to egress the growing budget deficit. And, we're seeing line of sight that this may, and will probably, include lower export incentives, higher taxes, and potentially, tariffs on energy usage. Input costs are expected to remain stable as most of the benefit is already in the first quarter results. Distribution rates and wood costs are expected to remain, what we would consider as, relatively high. The second quarter is the heaviest maintenance outage quarter for the year. And, is increasing $65 million sequentially over first quarter. And as we've talked about, Ilim's expected to continue to perform well. And, for the purposes of this outlook, we've assumed flat FX from where we exited the quarter. So, a non-repeat of that modest negative. But, the JV does expect this to be offset by the items that I mentioned regarding the brocks outage and higher inflation. And so, with that, let me turn it back over to Mark.
Mark Sutton: Thanks, Carol. So, now I'd like to shift gears a little bit as we close out the comments and go to Q& A. Take a few minutes to talk about value creation and what we're doing in International Paper. I'm on slide 14. This slide shows IP's ten-year journey to improve our return on invested capital results. With the last five years being in excess of our goal to consistently deliver results above our cost of capital. Now, obviously we want to improve that spread above our cost of capital. But, we're demonstrating that we can be at, or exceed, our cost of capital which is a key measure for our value creation mindset at International Paper. It's the yardstick; ROIC is. That we measure investments by and make decisions in terms of what strategy we should deploy. Our primary intent is to increase the value of IP over time and we've been successfully doing that. And, we're excited about the path we're on. This next slide highlights the main elements of IP's value creation and capital allocation strategy. As we've indicated, we're running our businesses consistently well and are generating strong free cash flow year in and year out. Averaging $1.8 billion annually over the last several years. This has enabled us to strengthen our balance sheet, provide adequate CapEx to sustain this strong level of performance, reinvest in our core businesses, and return significant cash to shareholders. We intend to continue this balanced use of cash approach to keep the company on sound financial footing, to reward our shareholders, and to increase the value of International Paper. Our dividend policy and actions are clear. And, there are - there's more room to grow. We've been opportunistic with our share buyback program. Taking advantage of dips to buy shares at an average price below our intrinsic value. And, this has become an important tool and a good way to supplement return of cash to shareholders. I'm pleased to report that in the first quarter, we completed the initial $1.5 billion share repurchase authorization. As of today's call, we have bought back roughly $120 million of shares since the first of the year on the new authorization. Additionally, we continue to look for good ideas in which to invest. Whether they're to strengthen and improve results within our existing businesses. Or, selective M&A opportunities that are the right fit for IP and can be accretive to ROIC and our results. I'd like now to turn your focus to a couple of great examples that we've recently announced and are acting on. The first, on slide 16, is an update on our strategic reinvestment at the Valliant Mill. As you're aware, we made the decision to restart the number three container board machine at Valliant last year. And, our team has been actively working toward that objective for the last several months. We're excited to report that the machine is up and running now, ahead of schedule and making salable product at this time. This machine fills a large whole in our medium capacity with the roll off of the purchase obligations that were created with the mills that we divested as part of the Temple-Inland acquisition. Valliant is well-positioned to serve our needs to the South, where we have a large presence in the box market, as well as the West Coast markets. This additional capacity also enables us to cost-effectively handle the expected growth in specialty, craft liner board exports and our North American box markets. It also gives us additional flexibility to meet the needs and maintain our low-cost position. While we continue to balance our system supply with our overall customer demand. And, it goes back to what we've talked about before. And that being, our multi-channel strategy the we deploy in our industrial packaging business. It's a very attractive deployment of capital; an existing facility with expected returns in excess of 25%. We expect this project to ramp up over the balance of 2015. And, it's a great addition to an already very good container board mill system. Next project I'd like to talk about is the con - is the project to convert our Riegelwood, North Carolina mill to a 100% pulp. To meet the growing needs of our fluff pulp customers of the next several years. This project involves the removal of 350,000 tons of coated paperboard capacity at the Riegelwood Mill. Much of which is dedicated to the production of coated bristles for the printing markets, under our Carolina brand. We're selling the Carolina brand to MeadWestvaco and repositioning the coated paperboard business to focus more on the packaging grades of coated board. And, to free up the capacity to make the fluff pulp and softwood pulp at the Riegelwood Mill. The conversion will provide additional pulp capacity of 400,000 tons at Riegelwood, and will bring our North American pulp system to 1.7 million tons. Importantly, 1.4 million of that is capable of making high-quality fluff pulp. This is the latest in a series of conversions to expand our fluff pulp business. By the way, a business we've been in since 1984 out of our Georgetown Mill. The coated paperboard capacity that we make in the coated bristles area will be shut down by early 2016. And, the new pulp capacity will be online by mid-2016. Riegelwood will have the capacity, or the capability, excuse me, to flex this capacity as our market needs demand. Between market softwood pulp and fluff pulp. This - the decision to convert the mill was based on the opportunity to grow with the market and our customers in the attractive fluff pulp market. We have the best customers in the market and the best growing markets geographically throughout the world. It also allows us to streamline our coated paperboard system. We intend to support our coated paperboard customers. And, the attractive growth segments, as I mentioned, in food service and consumer packaging grades out of our top rated mills in Texarkana, Texas and Augusta, Georgia. This investment of $135 million at Riegelwood has an expected return of greater than 20%. So in closing, International Paper continues to perform well today. We like the positions we've built in the key markets where we've chosen to operate. And, the businesses - in the businesses that are needle movers for IP. These strong positions, along with great execution by our teams on the ground, are enabling IP to manage margins and increase profitability. Regardless of what the market throws at us. We realize the world is a dynamic place and we're mindful of global demand, trade flows, and the implications of a strong U.S. dollar. But, given our strong positions and our great customer base, we feel it's all manageable. We have a solid pipeline of high return capital opportunities, a couple of which I've just highlighted, that'll enable us to successfully deploy capital and increase value. Our strong free cash flow generation enables us to fund these attractive opportunities. While continuing to return an attractive level of cash to our shareholders. All in, we remain excited about where we are, the path we're on, and what's out in front of us. With that, I'd like to turn the call over to Jay and open it up for questions.
Jay Royalty: Operator, we're ready to take questions now.
Operator: [Operator Instructions]. Your first question will come from Chip Dillon with Vertical Research.
Chip Dillon: My first question has to do with well I have a couple of questions. One is the timing of the regal would conversion obviously the fluff pulp market is very attractive given its growth in international markets with rising living standards. And I know is close to the port of Wellington and news and export product. But the timing seems interesting to us because of the fact that other capacity is coming on. There is another player that might need to participate temporarily as a deal with the conversion. Themselves. So we were curious about that and wondered why now. And the second question has to do with could you remind us of your container board mill and box integration level in Europe proper? I guess excluding Russia?
Mark Sutton: Chip I will ask Mike who runs our consumer packaging business and North American papers to take the first one and Tim Nicholls will do the second question.
Mike Amick: As far as the timing of the regal would conversion without really referencing what others may or may not doing we are just reacting to the need that we have within our system to meet the strategic business and the demands that we see growing across the world. So this decision is very timely for us. And were excited about the opportunity and the value this will create for our customers and for share owners going forward.
Chip Dillon: And then on the integration levels in Europe?
Tim Nicholls: They're pretty small because most of the business over there is focused on industrial and test liner. We do have a big fresh fruit and vegetable segment and we do sell board out of North America and we are the main supplier for craft Virgin, but on a total bases and this is a little bit of a round number, but I would say we are probably close to 15 to [indiscernible] percent of their total by. But a big portion of the Virgin craft piece.
Chip Dillon: Just real quickly to follow back on the fluff conversion. Could you just remind us how much or how different it is selling fluff pulp to a typical consumer products company versus selling paper grade even into tissue and certainly into regular paper. To find at least important to have some staying power to the market . To the contracts tend to be a little bit longer and the standards, do people specify certain Mills etc.?
Mike Amick: It is a technical cell. It is a product that requires a fair amount of engineering and qualification process is quite lengthy. So it is a sale. As I said it's a qualification process. And there are typically contracts as well. But that varies depending upon the customer and the situation.
Operator: Your next question is from Mark Weintraub with Buckingham Research.
Mark Weintraub: Two quick ones. First of all as you noted there have been lots of shifting dynamics. I believe at the end of the last quarter you had laid out a goal were expectation of about a 5% improvement in EBITDA for this year is that something you think is still doable?
Mark Sutton: We do. If the year is one quarter down and three corners to go. It's a steep challenge as we laid out. But we do believe we need to shoot for 5% EBITDA growth. We have some plans that put us within striking distance of that and we are hopeful and we've got a lot of time left in the year to do that. We've probably got about a 4% year-over-year in the first quarter but the challenges steeper. But that something we still have our eyes on.
Mark Weintraub: And then second if I look at I think at slide 22 you show market downtime for your different businesses. And container board for the first time since second quarter 2015 perhaps, you didn't take any market downtime. Yet at the same time you can see that the volumes in your industrial business both versus the first quarter and versus the year ago though very slightly versus the year ago there was a bit of a negative hit. So there seems to be almost a little bit of a surprise that for the first time in a while where you're actually seeing a little bit of the negative hit on the volume side where you're not taking any market downtime in container board. Can you maybe talk us through a little bit through the thought process there?
Mark Sutton: As you can imagine there's a number of things going on Mark. First of all were buying less board on the outside because we have less requirement to do so. We are needing to take board for all of our channels to market. Second of all were getting ready for what is going to be our largest outage quarter of the whole year. It's a big step up first quarter was big it's a big step or up the first quarter. And then lastly we ran better in the first quarter than we did in the fourth. But we still didn't run particularly well so we were scrambling a bit to try to get the building product in our pipeline are going to need as we go through the area.
Mark Weintraub: So at the end of the day would you say your inventory situation is just where you want to be in container board?
Mark Sutton: Not quite, we built 60,000 inventory we would've liked a probably a little bit more. If you think about it in terms of our system that’s less than two days of production and we’re going through a very heavy season. So it's close to what we wanted but probably a little bit on the light side.
Operator: Your next question is from George Staphos with Bank of America Merrill Lynch.
George Staphos: I'm wondering dive back into consumer and by box board markets and I missed this, I remember we were having two machines could you relay or rewrite how much you're taking out of the Bristol market and then the related question how do you see the folding box board markets in now in terms of in terms of supply demand balance specifically in North America?
Mike Amick: Your first question was around the printing piece of that. That business represents about 15% of our total capacity. So roughly in the neighborhood of call it 250,000 tons of capacity is what's being made at our Riegelwood facility directed at printing papers market.
Mark Sutton: From a supply demand balance I guess you're asking really on a worldwide basis. You're still seeing we are still seeing a large supply position out there relative to demand. And that's something that we understand and we look at and manage but that still the case.
George Staphos: Maybe backing up and segueing off of your earlier questions how much of the conversion here was driven by the opportunities you see in fluff pulp and how much was a recognition of a potential supply demand imbalance in the future in the box board markets? I know it's hard to be precision like in your comment here but were interested in your thoughts.
Mark Sutton: This is one of these situations that come up maybe not too often where you've got a win-win. This was primarily a move driven by our fluff position. And trying to improve our position in that business. For the long-term.
George Staphos: Okay. I guess to last ones in alternate over. Bigger picture you've done a great job of improving as you've pointed out this part of your cost of capital market or the last couple of years. And you intend to continue that. How do you see the strategy shifting at IP if at all to manage and grow that spread. Do you see that being driven by things you do within your capital structure? To improve the spread? Or do you see it being driven more by investment and within investment you see it being more by acquisition opportunities or more the sorts of things like Valliant and Riegelwood? Thanks and I will turn it over.
Mark Sutton: I think for a company that has a scale that we haven't to be able to move the needle you have to keep all of your strategic options available to you. So it's probably will be a little bit of all of the above that you just talked about. For I think you will see is more opportunities with projects like Valliant the build upon a strong position business or region and to improve that position. And that something that we have not really done a lot of lately because we were doing some large M&A work and sort of build the company we have today. So I think some of this goes in cycles but back to my comments on ROIC the measure to look at where you know work to create value against that backdrop looking to maintain a solid spread above our cost of capital, and what we do will need to pass that test.
Operator: Your next question is from Gail Glazerman with UBS.
Gail Glazerman: Carol or Mark expand the project abandonment can you quantify how much the charge was and will that be the option for the paper machine down at [indiscernible]?
Carol Roberts: Gail, I would prefer not to call out exactly what it is because it would give some insight into some of the stuff but it was pretty much in accounting thing. We go ahead and approve code I funds for capital and once we make a decision let's they were not going to permit pursue something let's keep her book straight. It was enough that I felt that we needed to call it out but that's about the detail I'll be guilty give you.
Gail Glazerman: Okay. Can you talk a little bit about what's been going on the uncoated free she market are you seeing any response in the market to the threat of duties and any view on what might happen in June?
Mike Amick: As you're seeing as you're seeing reported in the industry numbers, there has been some pullback in reduction in imports coming into the U.S.. As far as going from a kind of a timeline standpoint the IPC rules is now on the hands of the Department of Commerce. And we'll see expect to see an answer or ruling from them on duties or potential duties sometime in June.
Gail Glazerman: And that have you heard from customers that you might've lost last year reports coming in? Are you seeing that or is it just with the demand supply and that's kind of offsetting it?
Mark Sutton: We haven't seen that Gail.
Gail Glazerman: Can you give a little bit of color what you're seeing in currently in terms of the box market if you look into the second quarter and maybe a little bit of color on as well?
Mark Sutton: We’re seeing a seasonal pickup in April. The first court economic activity was lighter than we would have hoped coming into the quarter. We had a little bit of a soft margin things kind of settled out but I think that we are seeing kind of a normal seasonal pickup and second quarter is a big order for us. It's a lot of fresh fruit and vegetable and so I'd say April so far is seasonally up.
Gail Glazerman: And export demand?
Mark Sutton: Export demand has been pretty good. You read all the headlines from the newspapers and you'd think that it would take a hit, but we've seen the FX in Europe from a demand standpoint it's been really consistent.
Operator: Next question is from Alex Ovshey with Goldman Sachs.
Alex Ovshey: Looking at the first quarter box shipment number for IP versus the industry can you just talk about the drivers of the underperformance. Why IP's number came in later and looking forward is the expectation for the balance of the year that the volume number could potential he lag the industry?
Mark Sutton: What we constantly do is make choices around customers. And some of what hit us in the first quarter was choices around customer mix that we had made in the fourth quarter and those finally came fully through. In the first quarter. Yes over the next quarter or two we could be caught depending on what the market does, down a little bit or close. But what we’re trying to do is manage the portfolio across all the segments that we serve to make sure we're picking the right pieces of the business to make right sense for us for long-term. So it's kind of a constant evaluation that we go through and we were a little bit light in the quarter. But I don't think that is be concerned.
Alex Ovshey: And then thinking about your European container board business box business you supply a lot of your craft lighter board from the U.S. but you mentioned that the test liner is purchased locally. Is there a strategic benefit from potentially integrating that converting business in Europe with mill assets? Can you talk us through that scenario?
Mark Sutton: We evaluate the test liner integration benefits and level on a continuous basis. There was a time where we were 35% integrated we had a mill in France that we closed. We have good integration level in our business in Morocco, we have a couple of mills in Turkey, we really look at it on in available paper type of segments we choose to participate in. Our business as I've mentioned before is largely built around the Mediterranean region and fresh food areas that a heavy craft liner and semi can media market. That's the primary focus of that market. And we view the craft liner as an extension in between our North American box system. So as we think about strategic development of the business the need to make some of our own test liner or more than we do today will continuously be evaluated. But there is ample supply in Europe for companies that are configured like us so the availability of the paper is there. It has to be the right economic and has to be the right quality. With the way to different products were making. There could be a scenario where make sense to make more but right now we feel like our position is in a good spot will be evaluated on a continuous basis and will be in and out overtimes of test liner.
Alex Ovshey: If I can just ask one quick one on Ilim I think you talked with a normal EBITDA out of the business of about $600 million. With all the puts and takes do we think run track to be able to achieve that number in 2015? And what would be the cash dividend that would be associated with having an EBITDA number that's close to the $600 million number?
Carol Roberts: I think there is a good shot to hit that number a lot will depend on how things turn out. We are performing well we've got graced cost positions a lot of depend on demand out of China for pulp and kind of where the currency goes another stakes. Relative to the dividend it's going to be very cash positive so a lot of that will depend on Ilim board will make that decision will be around that debt covenants and will be for lack of cash. So we feel very good about that business and think we’re going to have a very strong year.
Operator: Your next question is from Philip Ng with Jefferies.
Unidentified Analyst: This is Alex [indiscernible] on for Phil, thanks for taking my question. So the strong dollars have been at headwind for expert between her board prices but there's also been some container board price increased in Europe and Brazil, can you talk about what you’re seeing in terms of export prices and your outlook prices begin to firm up?
Tim Nicholls: Most of the movement that we've seen as really been currency related out of Europe. We haven't really seen any movement and other regions world. And the price we've announced price increases on Europe shipments is there going out we started earlier this year but that's only made up about half of the impact on currency so I'd say it's Europe on currency and yes there's some pressure, there's been some spot prices here and there but nothing structural that we have seen so far in other parts of the world.
Unidentified Analyst: And just one follow. I appreciate the color on April box trend seasonally is any way you can give a comp on apples to apples year-over-year basis?
Tim Nicholls: We'll see how the quarter plays on talk to you the end of the second quarter. Like I said it's usually our strongest quarter in terms of volume. And we’re seeing seasonal lift so far. So we feel okay about it.
Operator: Your next question is from Al Kabili with Macquarie.
Al Kabili: I guess the question for Tim is just on the opportunity for further optimization in the container board business. Can you just update us where we are at their in North America and if there is any specific targeted improvement that you have for this year on that?
Tim Nicholls: Well we are constantly looking every year we have a certain amount of initiative baked in and it's across the board. We had extremely good performance in our converting operations in the first quarter both on waste on per foot. In the middle system we are targeting cash costs every year. We did not run as well as we wanted to in the first quarter but we ran a lot better than that in the fourth quarter and we feel good about the rest of the year. So it's going to be running the mills more reliably and running better from a input consumption standpoint. Supply chain continues to be a big opportunity for us. And running the mills reliably helps that because we there's freight logical statements from mills to converting facilities and when were up and down in mill facilities it makes it a little bit harder to keep supply chain in line. I think we've got a pretty good plan for this year in terms of improvement. Across converting mills and.
Al Kabili: And just on I know the export had sort of in the majority of the pricing sequentially in the business. But from the medium published medium price cuts do you see any meaningful impact from that? Or maybe can call it what that impact is. I would think there might be a sequential drag as you see the full impact in that into queue although maybe light. Thanks
Tim Nicholls: Yes I don't to get going to be a huge shift for us. I just don't see the medium having a big impact on performance systems.
Al Kabili: Okay and the final question is just on the West Coast is going through another pretty severe drought this year. I know that impacted you last year. Any early read on what the impact might be this year?
Mark Sutton: It's hard to tell what happens to the course of the year a little bit the first quarter. Second quarter is when we naturally pick up around produce fresh fruit and vegetables so we'll have to see. Yet still dry. What has helped is the port situation. Just there were agricultural products that were sitting in ports spoiling. Among other things. And having that resolved in the supply chain starting to correct themselves is going to be a help.
Operator: Your next question is from Mark Connelly with CLSA.
Mark Connelly: Just one question [indiscernible] used to talk about capital spending versus depreciation levels geographically that he was spending more capital and growth markets overseas and less in the U.S.. As we think about the new spending and the new initiatives that you're making in the U.S. as that changed dramatically. And when you think that balance of To depreciation domestically and overseas is going to be over the next couple of years?
Mark Sutton: I think some of the spending that you referenced really was about hoping some position and some new markets. All most by design you're going to spend early on greater depreciation. I think our view is spending is up percentage of Bruce appreciation more portly IBR capital spend it as a percentage of our revenue and where we think we can generate these returns on invested capital in excess of our cost of capital. Again back to that is a more focused filter work that's where you'll begin to see more capital in the strategic reinvestment category invested where we really believe we can create that sustained value. And it will be looking at capital as a percentage of our revenue and also as a percentage of depreciation and looking at that together.
Operator: Your next question is from Scott Gaffner with Barclays.
Scott Gaffner: Mark when I look at the two projects the Valliant restart and then I looked down at the regal conversion the Valliant project just when he 5% IRR is 20% plus the question is really going forward on these capital investments. Is there a belief within the company that we should be looking at lower IRR's on future investments, is at the quick correct way to read that?
Mark Sutton: Not sure I understand why you would include that are you thinking maybe we did the highest once first? Correct
Scott Gaffner: Correct exactly.
Mark Sutton: No that’s not a good conclusion. What drives the timing on projects like this is the return is honestly important but there is an acceptable group of projects Mike described the market demands of our customers. The timing of bringing product into the market. You think about Valliant part of that timing was based on May versus by and the role of our agreements. On the fluff project we have the customer base we want and that customer base so that drove the timing more than it was the highest to returns we had. So I think the kinds of projects you'll be seeing in the future will be in this range and better. Not worse.
Scott Gaffner: I appreciate you clearing that up. Just following up on exports. Obviously pricing's been a little bit pressure just because the FX component. But when you look at shipping costs have you noticed a significant offset there from lower shipping cost into the export regions that might benefit?
Mark Sutton: I think that for the whole company because we export a lot of things from the U.S.. I don't Nick we've seen a significant offset in the export arena . They are puts and takes but nothing that's shown up materially as an offset to the pressures you described.
Operator: Next question is from Dr. Mark Wilde with BMO Capital Markets.
Mark Wilde: Mark, I wondered if you could first will update us I think you've been doing some kind of recent around the whole international portfolio with the company it sounded like China had been under the biggest question for you and I wondered if you be willing to talk about that?
Mark Sutton: I can't talk about anything in detail. The what you're referring to is we talked about a couple calls and as a couple of conferences and that is we constantly need to reevaluate our positions in our strategy and looking at places that we really believe on the long-term International Paper can win. So the international regions that we are in today are under evaluation and as you can see from decisions we've made even domestically with the coated paperboard repositioning our positions in the U.S. are under evaluation all against the backdrop of can we win long-term and produce returns that are in excess of our cost of capital. Maybe not all at the same time in any moment at time but that's the goal, get the company's return on invested capital to be balanced in any part of the company in the long-term contribute to the target. With that as backdrop we have work to do I'm not prepared to talk about any conclusions, but rest assured that work is being done.
Mark Wilde: I wonder just looking at volumes quarter to quarter and year-over-year couple of them really jumped out at me. One was the drop off in the Asian quoted board volumes and the other was the weakness in the Brazilian uncoated paper volumes. I guess particularly with Brazil and other Brazil is weak but I also know that a weaker the business should be much Mark competitive from an expert standpoint.
Mark Sutton: I think in the Brazil piece one of the issues with the IP numbers was we had a tremendous first quarter in 2014. Without the lion share some incremental demand the came out of some government programs and we didn't have that this particular quarter. So our comp was particularly difficult. But we are not losing our position in our business in our margins in the paper business in Brazil, we're still very strong. It was really more of a timing and comp issue more than anything else in the Brazil paper demand paper drop off. Now the coated board in China I think part of what we’re doing in our coated board business in China we made those investments to make the high-end of the market. And were continuing to upgrade our mix and in some cases base on the supply demand economics and margin pressures it was the right economic decision for us to make less of those lower and general folding carton grades and more of the higher-end grades that go into more sophisticated packaging. And just make less product to make a better result. So that demand relative to the market is self-inflicted and the right decision for us because our strategy was to make the high-end grades.
Mark Wilde: The last thing I wanted to do is just circle back on that three times leverage target that you have had Mark. And I just like some updated thoughts on how important getting down to that level is for you. And what you'd be willing to go up to in the short-term for a transaction?
Mark Sutton: I think it is no change in our view on that. I think the three times leverage is the right place for International Paper over time. You've obviously seen us go above that that we did it and we got it back they quickly. So I think the strategy we would have on any kind of investment that would require us to increase our leverage would be along those lines where if we did it, we already have a plan to get it back . And as we announced the transaction the transaction to be announced in the plan of how we get our leverage `we think it's important the long-term health the company and to be a long-term value creator that being in that zone is important.
Operator: Your next question is from Chris Manuel with Wells Fargo.
Chris Manuel: Just a couple of follow-up from earlier questions. First I looking at fleet slide 32 refer to year-over-year price in your North American container board being down a chunk and I guess I'm presuming a lot of that I'm sorry currency driven. Can you maybe talk about the appetite or how you think about particular given your strategy as a using the European operations is an expert be three North American Mills is how you feel about needing to recover or maintain certain price cost relationships. Additionally you've got some inflation stuff you've mentioned logistics and freight that event up a bit. How do you think about maintaining a recovering some elements for your system?
Mark Sutton: First of all we shift through multiple channels and we expect all those channels to earn their keep. So when we see margin pressure were looking for ways to recover that or shift from one channel to another. So we did get hit on the container port side with currency and we've had a number of increases that we've pushed through as we went through the first part of the year we haven't recovered all the currency impact. I'm not sure which slide you're looking at it if you're looking at the container business on page 31 most of what you see there is pretty small movements. And most of that is mix. We just experience. Should. We sell to a lot of customers or a lot of different types of boxes there is a fairly broad distribution of price given box construction. And so most of what you see there is mix on price as of the boxes were selling. Margins are margin structure from quarter to quarter was dead flat.
Chris Manuel: Okay. Second question was if I can follow up from an earlier one as well. Have your customers approached you would all particular West Coast customers fruit and vegetable process etc. regarding, the drug has been an issue, if they come at you and suggest that any sense that we may have 510% lower needs given a shortages of water things of that nature. That's directionally some of the color we've heard regarding outlooks or thoughts regarding some of the crops, but your color would be helpful.
Mark Sutton: We have not.
Operator: Your next question is from Steve Chercover with D.A. Davidson.
Steve Chercover: So a lot of these things have been asked. Starting with one, obviously currency wasn't the problem on the bottom line. But the revenues missed the consensus pre-substantially. Some wondering if that is the FX and you can qualify the impact.
Carol Roberts: Steve, the FX was a big factor translating those Brazilian sales in the euro sales in two dollars was a big impact. And that's the majority of it.
Steve Chercover: And secondly down year-over-year sequentially and xpedx is discontinued op is a good run rate to use in the low 400s now?
Mark Sutton: Can you say that again you broke up on the first part of the question?
Steve Chercover: Selling and admin expenses are down year-over-year and sequentially. And I believe xpedx has already been discontinued so I wondering if a good run rate is now in the low 400 range?
Carol Roberts: It probably is but think about the first quarter is probably a lower cost quarter because we have an annual increase that hits April 1. But there could be a little bit of movement it should be reasonable. The only other area there would be incentive comp can move around quarter to quarter and that is not insignificant.
Steve Chercover: Final question, it's sounds like there is still some runway for Ilim after the work is done. Can we see that thing approach maybe $50 million as a line item quarter in quarter out?
Carol Roberts: I would hesitate to quote a number. I would have to go back and do the math. One thing I would say because it is a pulp business it is going to be a bit of a cyclical is this your going to have some peaks that are going to be really awesome and you don't know when those might be, so it could be a very strong number that I would have to go back and look before I would speculate on where the earnings would be, but Jay would be a good one follow-up on that.
Operator: And your final question is from Anthony Pettinari with Citi.
Anthony Pettinari: Mark, I was wondering if you could talk a little bit about the consumer packaging business following Riegelwood you have two world-class SBS Mills here, but you don't have the full converting capabilities few of your large publicly traded competitors. So as you look at this business long-term would you look to get bigger in converting or would you maybe looked continue to streamline the business. Is it strategically important to be an SBS long-term or you content to do with the asset base of now?
Mark Sutton: The consumer packaging business not only in the U.S. but globally where we do it, we do some of that business in Europe. We do some in China. Is an important business for us. We are surgically targeted to certain segments with certain substrates. We don't have a full line of substrates we don't have a full line of converting and that seems to be working for us. In our recent history we've tried some other methods to grow that business with other types of converting. With varying degrees of success or lack thereof. So we’re going to be very careful with how we look to grow that business, but it is an important business for us. We really like the North American SBS base business and the converting that we do. But again back to my earlier comments anything we do in consumer packaging or any of the other businesses we will have to be convinced that it drives the return on invested capital of the overall company. And even though we have two mill system or emerging into a two mill system SBS for packaging grades those are two enormous mills that have a significant capacity and product capability that are best in class in the world. So I don't go by the number of mills I look at the number of customers we serve and the growth rates of those customers and where we think we can add value and be competitive. And that will be the test we use on whether or not we grow and more converting. It's not, we just need to do it to be like every else, it's about value creation.
Anthony Pettinari: And then just trying to Brazil top demand environment potentially higher taxes and tariffs on energy usages, given all those challenges is there a way to quantify the potential for EBITDA margin improvement at Orsa or to quantify that runway? And then putting aside some of the bad external things, what are the kind of the actions you can take internally at Orsa to improve performance of the business?
Mark Sutton: The Brazil packaging business is in the same market, experiencing the same dynamics as our paper business. So demand has been a challenge. What we have done is we have improved internally how we're operating the mills that we have there. They are relatively small mills by our U.S. scale but they have the same kinds of challenges and problems so we are deploying our capabilities of manufacturing excellence and other tools we use to improve those mills. And we’re seeing some results there. So internal self-help improvement on how we operate. And on the box plants it's a number of things. It's improving our capability to serve customers through the supply chain improvements and also adding a little bit of automation to lower our fixed cost and we are making progress on all those fronts. We’re not losing position in our packaging business. We've got some really important customers that are having a tough go of it and so as their business contracts a bit we contract. So we've got to figure out the commercial side and replace some of that business but I think when the economy in Brazil improves, when the government reforms take hold the packaging business is going to be much better positioned to perform in a better environment than it was when we made the acquisition.
Operator: At this time I'll turn it back for Mr. Royalty for closing remarks
Jay Royalty: Okay thanks. That will conclude today's call. Thanks Mark and Carol and all. And thanks to all of you for joining us this morning. As always Michelle and I are available after the call and our phone numbers are on slide 19 of the presentation. Have a great day.
Operator: Thank you ladies gentlemen this does conclude today's conference call. You may now disconnect.